Operator: Welcome to the Crocs Third Quarter 2013 Earnings Call. [Operator Instructions] I would like to remind everyone that this conference is being recorded. It is now my pleasure to turn the presentation over to Mr. William Kent, Senior Director of Investor Relations. Mr. Kent, please go ahead.
William Kent: Thank you, Jill, and thank you all for joining us today for our third quarter 2013 earnings conference call. Earlier this afternoon, we announced our third quarter 2013 financial results. A copy of the press release can be found on our website at crocs.com. We would like to remind everyone that some information provided in this call will be forward-looking, and accordingly, are subject to the Safe Harbor provisions of the federal securities laws. These statements include, but are not limited to, statements regarding future revenue and earnings, backlog and future orders, prospects and product pipeline. We caution you that these statements are subject to a number of risks and uncertainties described in the Risk Factors section of the company’s 2012 report on Form 10-K filed on February 26, 2013 with the Securities and Exchange Commission. Accordingly, actual results could differ materially from those described on this call. Those listening to the call are advised to refer to Crocs' Annual Report on Form 10-K, as well as other documents filed with the SEC for additional discussion of these risk factors. Crocs intends that all of its forward-looking statements in this call will be protected by the Safe Harbor of the Securities and Exchange Act of 1934. Crocs is not obligated to update these forward-looking statements to reflect the impact of future events. The company may refer to certain non-GAAP metrics on this call, including adjusted net income. Explanation of these metrics can be found on the earnings release filed earlier today. I'll now turn now turn the call over to John McCarvel.
John P. McCarvel: Thanks, Will, and thank you for joining us on our third quarter earnings call. With me today is Jeff Lasher, Crocs' Chief Financial Officer. I'll begin the call today with commentary on the third quarter, followed by Jeff, who will review the financial results for the third quarter and walk through our fourth quarter guidance. I will then add some additional insights on our ongoing business before we take questions. Turning to the quarter. Our results for the third quarter were in line with the updated guidance we provided in early September. While the Crocs brand and business model remains strong, there is no doubt there was a more difficult quarter than we had anticipated at the time of our last earnings call. I want to highlight what went well during Q3 and also discuss factors that impeded our performance and what we're doing about them. Let's start with a regional view. We continue to be pleased with the performance of our Asia Pacific and European segments. Notably, we believe our European business has turned the corner and we are seeing positive signs in all segments of this business: wholesale, retail and Internet. Our performance in Europe continues to improve. Our wholesale business grew nearly 21% in the quarter, our own retail stores recorded a 9% same-store sales growth and we saw a 65% retail revenue growth overall. We also saw strong Internet sales growth in Europe in Q3, with online revenue rising 35%. While our product mix in Europe still skews towards the Classic clogs silhouette, that's changing, and our European consumers increasingly choose other styles with higher ASPs. We've been particularly pleased with the performance of our winter boots and closed-toe silhouette. In Asia Pacific, same-store sales grew 9% as we opened 15 new Crocs retail stores during the quarter. Internet sales rose nearly 26% as we added more local language sites to make it easier for more people in more places to shop Crocs. We also saw continued support from our wholesale partners, although growth in this channel was a more modest 2.3%. Unfortunately, Crocs' strong performance in Asia Pacific and early indications of a turnaround in Europe were offset during the quarter by challenges in the Americas and Japan from both the company-specific perspective and a macro perspective. Beginning with the macro picture in the Americas, we're seeing decreased consumer optimism amongst our consumers. We're also seeing less discretionary spending for footwear, apparel and other consumer goods in the U.S. Although we continue to make progress on establishing Crocs as a 4-season brand, these trends, as noted earlier by Coach, Wolverine and others, are having an outsized effect right now in what is traditionally our most challenging part of the year from a revenue perspective. I wish I could tell you we're expecting a big improvement in consumer confidence in the U.S. throughout the year, but we're not. We've come to the conclusion due to challenging back-to-school season, soft holiday indications, weaker employment growth numbers for the upcoming holiday season and the toll that ongoing battles over U.S. fiscal policy take on our consumers, we expect to see this slower trend continue in the fourth quarter. We're not seeing consistent market data to support improvement in customer confidence and U.S. Retail sales as is evidenced yesterday in the data release from the Conference Board regarding October. In Japan, which represents 15% of our revenue, we continue to be affected by unfavorable exchange rates and decreased wholesale volumes. Revenue in our business in Japan declined nearly 23% during the quarter, or $11.7 million due to the weaker yen. On a constant currency basis, the Japanese business declined a more modest 3%. So to summarize geographically, we're pleased with the performance of 2 of the regions that represent nearly 50% of our business, including our fastest-growing region, Asia Pacific. And we're working hard to improve the performance of the other 2 regions, which represent the balance of our business. Now let's take a look at the business from a channel perspective, starting with wholesale. In the U.S., a challenging short summer, followed by a tepid back-to-school season for many of our partners reduced our at-once orders in the third quarter, the remaining conservative with at-once orders for the upcoming holiday season, too. We have reflected that in our guidance we've given today. We see our key accounts maintaining lighter than historic pull [ph] levels, and in many cases, looking for brands to carry more at-once inventory of their top-selling styles. We are working closely with our wholesale customers to meet their needs, while managing our inventory levels prudently. In the Middle East, we've launched a new line of regional footwear, the Shamaal collection, which has performed very well to date. In other key markets in Europe, in China and Korea, wholesale growth remained strong with double-digit growth in each market. In our retail channel, we have touched on positive results in Asia Pacific and Europe, and growth in Asia Pacific is driven by core products and new collections of products, namely Boat Line, Huarache, the A-Leigh and Leigh product collections. Positive growth in transactions, UTPs and conversion rates are generally in the low double digit. Same-store sales growth in Europe is driven by core products and a wider spectrum of new women's, men's and kids' styles as the European consumer sees a wider portfolio of products from Crocs. Conversion rates in the low double digits where our new outlet stores are performing well in the quarter. We still see European consumers shopping for value products. In the Americas, our retail performance has not met expectations, with a slowdown from late July through September. We experienced choppy traffic and demand in most retail locations throughout the U.S. In comparison to many of our competitors, we were less promotional at retail in the quarter, and thus, did see a nominal lift in gross margin. Conversion rates in the U.S. were in the high teens. Japan remains a highly challenging retail environment. Our information shows that Japanese consumer traffic in malls was 10% to 15% lower in the quarter, but conversion rates remain at the mid-teens and average ASPs were higher. Even with the headwinds and negative same-store sales in Japan, this continues to be the most profitable retail operations for Crocs globally. Now let's turn to the Internet. We continue to see strong online demand and relevance for the brand globally. To grow our online business and to optimize performance, we're continuing to invest and develop our global analytics team, thus, helping us to make better use of the data we have and allowing us to improve our online customer experience. In the Americas, the online environment remains challenging. Business with many of Crocs e-tail partners continues to grow, thus taking some traffic and business from Crocs. We are certainly pleased to see that on Amazon.com in July, 23 of the top 100 styles sold were Crocs. However, we believe we're seeing some of the same showrooming challenges experienced by retailers in electronics and other categories that is impacting Crocs' direct growth of our own already significant e-commerce business. Some positive takeaways for our U.S. e-commerce business in the quarter were: ASPs were up $4.66 or nearly 20%. Tablet acquisition was up 20% and mobile purchases were up nearly 10%. Users are truly acquiring our products, how and when they want. New products are driving ASP growth where our new A-Leigh closed-toe wedge, our cap toe flats, Men's Suede Santa Cruz and the new Retro Sneaker collection we launched this fall. Conversion increased 37% in Europe, and revenue increased 20% per transaction, this is excluding Russia. This is a broad-based growth across many European countries. A few additional callouts I'd like to have today. Having covered our regions and channels, I'd like to call your attention to a few things, starting with product, which is the heart of our business. We're continuing to innovate to drive product diversity and become a 4-season brand. This year's line was the most diverse in terms of silhouette but also the most focused by building assortment -- minute to specific channels. This effort has been led by the Busy Day collection, developed for the active woman on the go. We also have infused our core collections with the refresh to our Fuzz collection, Blitzen II and Blitzen II Convertible. To expand wearing occasions, for our female consumer, we also launched the Fall/Winter version of our A-Leigh product line, which has performed well to date. For our male consumer, we continue to see the strength in our casual loafer business, highlighted by our Walu and Santa Cruz franchises. Heading into 2014, we will continue to build on our franchise around core clogs, translucent, canvas, our boating line and now Busy Day and wedges, including Leigh and A-Leigh. The innovation engine that we have built continues to generate results. For 2014, we'll be launching a stretch sole product, which allows the sole to stretch to articulate with the foot, creating unmatched comfort, building opportunities to open new accounts, attract new consumers and raise price points. Additionally, in 2014, we will introduce Colorlite [ph], a leather-like product made from a proprietary Croslite material. Colorlite [ph] will have an immediate impact on enhancing our product line and long-term drive down to cost savings as we expand into more styles. With our Spring/Summer '14 campaign, we'll be building on a brand position in the casual lifestyle space of "Find Your Fun." The "Find Your Fun" campaign will engage consumers with a global message that Crocs love color, creativity, individuality, passion for positivity that drives us to deliver fun and different footwear experience for people around the world. Find Your Fun will serve as a true brand platform for our customer experience interactions and will be integrated into all of our marketing activities. In other brand-building news, much of 2013 has been dedicated to laying the foundation for a global CRM platform and loyalty program that will roll out starting in early 2014. To date, we have been successfully leveraging our global newsletter database with millions of consumers to communicate our greatly expanded product offering across 4 seasons and effectively drive them to visit and purchase from our global e-commerce sites, as well as our retail stores. Our new CRM platform and loyalty program provides us with an exciting new opportunity to enrich consumer brand engagement and recognition to the sizable newsletter base and extend participation to our global fleet of retail stores that attract millions of consumers annually. We are bullish that this program will bolster loyalty from the more than 70% of our global consumers who have purchased more than 2 pairs of shoes over the past year from our retail locations and e-commerce site, respectively. We remain focused on retail excellence. While overall retail performance is mixed, we're investing significant time in this area to improve future performance. Some of the key initiatives are store site selection, our store footprints and buildout costs, the rollout of our Oracle Retek planning systems globally, our Kronos labor management software that we deployed this year also globally, to name a few. We engaged earlier this year with the AlixPartners on best retail practices and are implementing some of these programs today globally. Our new Bluewater and Bluewater Lite [ph] concept stores allow us better showcase of our casual lifestyle range of products, and it elevates the brand perception with new and existing customers. During 2013, we worked hard on identifying segmentation and distribution opportunities. Our market analysis says that we are 33% of our total distribution of the total available market identified. We believe we have a diverse product line that provides significant growth opportunities for the future properly segmented and sold. We also continue to build strength in our own retail management capability. In Asia Pacific, Steve Castledine, our VP for Direct-to-Consumer channels in the region, joined us earlier this year and is bringing the benefit of his 2 decade of experience with Levi Strauss and adidas. In Europe, Tim Lyons recently joined our team as the Head of retail operation after prior stints with Nike, Marks & Spencer and the Gap. These 2 hires are examples of the last thing that I want to call out and that's leadership. We've been working hard to find the right people on the bus by building a world-class Crocs management team. The recent addition of Greg Sullivan as General Manager for our Americas business after a distinguished management career at Walmart, will bring a new focus and energy to our efforts and improve the performance in this critical region. Terence Reilly, formerly the Vice President of Marketing for Famous Footwear, is now leading our Americas Marketing team. Lastly, Florent Bailly, formerly our Vice President for the Middle East and Africa, has been named our General Manager for our Asia Pacific Region, and we're confident that this region will continue to prosper under his leadership. Crocs continues to attract high-caliber brand business and retail leaders to help shape and implement our plans for a profitable growth. I'll be back with some closing comments. But for now, I'll turn the call over to Jeff.
Jeffrey J. Lasher: Thank you, John. Hello, everyone, and thanks again for joining us. What I'd like to do is go through the factors that impacted our third quarter results and our guidance for Q4. In the third quarter, we had various challenges that impacted our results. These include a more challenging wholesale marketing in the Americas and Japan, a decline in Internet volume in the Americas, unfavorable foreign exchange rate, ongoing expenses associated with SAP and increased marketing investment. Partially offsetting these issues was an overall increase in revenue from our Europe business with particular success of wholesale volume, up 28%; Internet volume and same-store sales in Europe, up 9%. Our Asia business also saw strong same-store sales of 9% over last year. In total, on a year-over-year basis, our net earnings were down $32 million compared to 2012. Our tax expense for the quarter was up $10 million as compared to the credit in tax expense last year. We had an overall impact of about $7 million, associated with a stronger U.S. dollar compared to last year in Japan. In addition, we had SAP expenses of $2 million over prior year, and an additional marketing investment of $2 million. For the quarter, revenues decreased $7 million or 2% to $288.5 million for the quarter. On a constant currency basis, revenue was up 1%. Revenue for the quarter was down mainly due to a soft wholesale market in our Americas segment as a result of conservative customer inventory demands throughout the United States, lower-than-expected e-commerce volume in the Americas, as well as unfavorable foreign currency fluctuations in our Japan segment compared to the same period in 2012. On a unit basis, volume decreased 3% to 12 million total units. This was partially offset by a 2% increase in ASP, which was $23.11 in the quarter. Clogs represented 45% of unit sales in the quarter, down from 48% last year; while non-clog boots, wedges, loafers and women's casual shoes increased as a percent of overall unit sales. Overall, our retail revenue increased 11% over 2012 level, as we added 95 net new locations since the end of last year's third quarter. Global retail same-store sales decreased 2% from last year, with Americas down 7%, Asia Pacific was up 9%, Europe was up 9% and Japan was down 14%. Gross profit decreased $7.2 million or 4.5% to $153.6 million for the quarter. Gross margin percentage decreased 120 basis points for the quarter. This activity was mainly driven by unfavorable foreign currency fluctuations in our Japan segment, offset partially by improving gross margins in our Europe wholesale business and leverage from distribution and fulfillment costs. Selling, general and administrative expenses increased $15 million or 12% to $136 million for the quarter. We specifically expensed $3 million quarter-to-date for our new SAP enterprise system development costs. In addition, we saw an increase of $9 million in retail-related costs, including rent, personnel and operating expenses of 95 additional retail stores as we ended the quarter with 594 retail locations, up from 499 last year. Our healthy balance sheet continues to be a source of notable strength. We had global cash reserves of $333 million with limited debt, and believe that we will continue to grow cash balances from operations. In addition, we ended the quarter with inventory of $176 million. Our cash balances globally increased $43 million in the quarter. Revenues from the Americas segment decreased $16 million or 12% compared to the same period in 2012. Wholesale channel revenue decreased $11.3 million or 20%, and Internet channel revenue decreased $5.5 million or 33%. These decreases were partially offset as retail channel revenue increased $1 million over the prior year. During the quarter, revenue from the Asia Pacific segment increased $6.4 million or 9% compared to the same period in 2012. Revenue growth for this region was realized in all 3 channels, as we retained strong support from our wholesale channel customers, continued to focus on disciplined expansion of our retail channel as we opened net 15 company-operated stores during the quarter and have seen benefits from new consumer-friendly web stores in various countries through our Internet channel. Wholesale channel revenue increased $1 million or 2.3% and consumer direct channel overall revenue increased $6 million or 18%. Revenues from the Japan segment decreased $12 million or 23%, driven by a $10 million unfavorable impact from foreign currency fluctuations due to this year's recent increases in the value of the Japanese yen relative to the U.S. dollar. Retail revenue on a constant currency basis increased 17%, while wholesale revenue declined 11% from prior year. Specifically, with the yen declining 18% versus the U.S. dollar in the quarter, year-over-year reported revenue was reduced by 3% on a consolidated basis. This had a approximately 300 basis point impact on our overall company gross margin and 230 basis point impact on our operating margin. This represented $0.11 of EPS decline year-over-year. Our Europe segment increased $14 million or 36% compared to the same period in 2012. Revenue growth for the region was realized in all 3 channels. Retail channel revenue increased $7.4 million or 65%; wholesale channel revenue increased $4.7 million or 21%; and Internet channel revenue increased $1.9 million or 35%. To reiterate the quarter results, in total, on a year-over-year basis, our net earnings were down $32 million compared to 2012. Our tax expense was up $10 million as compared to the credit last year. We had an overall impact of about $7 million associated with the Japanese yen. In addition, we had SAP expenses of $2 million and marketing investment of $2 million. Moving on to guidance for Q4. In the fourth quarter, we expect revenue to be flat to somewhat down compared to the prior year as we forecast revenue of $220 million to $225 million. So on a constant currency basis, it's about 1% to 4% over last year, and we estimate a loss of $0.20 to $0.23 per share. We expect gross margins in the fourth quarter to be down from the prior year and SG&A expenses to increase faster than revenue as a result of additional retail store locations. We plan to end the year with just over 600 company-owned locations and about 1,700 total partner stores around the globe. Backlog at end of the second quarter is up from prior year. Total backlog as of September 30 is $399 million, up $4 million from 2012 or 1%. However, on a constant currency basis, backlog is up 4%. Currency expectations are now 98 for the yen and 135 for the euro. Thanks. I will now turn the call back over to John for some closing comments before taking questions.
John P. McCarvel: Thanks, Jeff. As we end -- as we near the end of our prepared remarks today, I want to give an update on our stock repurchase authorization. I'm pleased to announce on October 29 this year, 2013, the company's Board of Directors approved an additional $15 million shares under the existing 2007 stock repurchase authorization. This brings the total shares available for repurchase by the company under the existing authorization to approximately 17.8 million shares. The number, price and timing will be at the company's sole discretion, and will be evaluated depending upon market conditions, liquidity needs or other factors. In closing today, as in the past, our strategy for profitable growth has 3 pillars. The first is optimizing our multichannel go-to-market strategy. Our priorities in this area at this moment are improving management of a challenging retail dynamic in the U.S., in part by balancing the number of full line and outlet stores and solving for the same in Europe. We're strategically growing our retail presence in South -- in Asia Pacific, sorry, which continues to offer tremendous promise. We are experimenting with ways to make it easier than ever to purchase Crocs for the channel-agnostic consumer. We're continuing to invest in how our consumers experience the brand digitally across all platforms, from desktop, laptop, computers, to tablets, to smartphones or to other types of in-store interactive displays, ensuring a seamless experience for our consumers regardless of the time and day and physical location. The second strategic pillar is product. We're expanding our partnerships and licensing activities to offer our consumers outstanding properties from our footwear collection collaboration with Duck Commander, inspired by the A&E hit, Duck Dynasty, to a very special line designed exclusively for Crocs by Project Runway star, Mondo Guerra. In late spring, we will launch a new footwear partnership with Star Wars coinciding with the May the Fourth Be With You promotion, featuring new limited-edition Star Wars production products available on May 4. I'm sure many of you will be pleased to know that our Star Wars line for the first time will come in adult sizes also. The third pillar of our growth strategy is the Crocs brand through effective innovative marketing, that connects with our consumers, brings new consumers to the brand and embodies our signature attributes of color, comfort and fun, most of all. Lastly, I'm sure you're all aware of the devastating floods that impacted our home State of Colorado last month. I'm proud to say that Crocs donated more than $75,000 in product and monetary donations to the flood victims and first responders. Given the mud and water that they were dealing with, our boots and other easy-to-clean footwear styles were the right thing at the right time. Crocs employees in Colorado also volunteered to help out with the recovery works, and I want to thank them for their willingness to assist their neighbors. In closing, the strength and potential of this company remains clear to all of us here at Crocs despite the challenging times we're managing through in North America and Japan. We have a strong global brand, a broad and expanding product line, a business model that we continue to fine-tune, a very strong balance sheet that gives us the ability to invest in business while returning capital to shareholders. We also have a dedicated team of Crocs employees at our headquarters and the regions. We're working hard to improve our company's performance, and I'd like to thank them for their dedication. With that, we will open up the lines to take your questions.
Operator: [Operator Instructions] And our first question comes from Erinn Murphy from Piper Jaffray.
Erinn E. Murphy - Piper Jaffray Companies, Research Division: I have 2 questions. One for John, and then just a quick clarification for Jeff. John, on the backlog, if you have 4% on a constant currency basis, I recall that kind of closer to double-digits, kind of midway through September. Could you just speak to kind of what some of that delta is, maybe either by region? I mean, recognizing the U.S. has been a very tough market of late, just help us think about what is involved in that backlog? And at this point, what's the visibility do you have from the backlog on to the spring, early spring orders? So that's my first question for you.
John P. McCarvel: So I think as we try to communicate at each stage, at each different date and time where we are at relative to backlog, I think, today, we continue to see orders continue to come in for second quarter delivery from major markets in the Americas and in Japan, major customers in those 2 markets. And so what I think you're going to continue to see this year different than other years is just the order pattern, it's a little bit later. Most of our customers that had carryover product from '13 into '14 have placed their orders to fill in the lines or take new products for their Q1 deliveries. But what I think you'll see when we give the update on December 31 is increased backlog specifically in those 2 markets, which will put us more in line with prior expectation.
Operator: And we'll go next to Taposh Bari with Goldman Sachs.
Taposh Bari - Goldman Sachs Group Inc., Research Division: John, I was hoping to just get some more context around your -- not really the timing of your share buyback but more of philosophies. So if I just go back over the past 12 months, you guys reactivated your share buyback program in the fourth quarter. You bought a little bit and you stopped. In the conference in September, you spoke about deploying about $80 million to $100 million of domestic cash. Now you're increasing that amount through your -- an authorization of about 20% of the company. I guess the obvious question I have is how do we think about urgency to actually activate that authorization? And then second part of that question would be how you plan on funding it.
Jeffrey J. Lasher: So I think our first message is that, as of yesterday, the company's Board of Directors approved an additional $15 million under the 2007 stock repurchase authorization. The total available to repurchase now is 17.8 million shares. As you know, we have constantly monitored the marketplace as well as our cash needs internally, and depending on market conditions and liquidity needs, we've made some decisions in the past to dip into the market, purchase back some shares. We do have cash in the Americas geared up for share repurchases. And if the management team makes the decision to move forward with share repurchases, we will update you at the end of the next quarter as far as our activity.
Taposh Bari - Goldman Sachs Group Inc., Research Division: Okay. That's helpful, Jeff. And then a question on Japan. Just the philosophy towards retail growth in that country. You're growing your store base, I think it was up about 40% year-over-year in this past quarter. You're comping down 16% constant currency year-to-date. So I guess, at what point do you revisit the store growth strategy in that country?
John P. McCarvel: Well, I think as you look at this year, a few of the stores that we have added have really actually been where we have taken over partner stores in mall locations, where the mall operators in Japan acquire the brand itself to run those outlet stores. So some of the additions of retail in Japan has really been a transfer of the existing stores from partners to Crocs with a few additions in key locations that we had in the pipeline dating back a year ago. We've looked at what our retail growth strategy will be in Japan next year. There'll be a nominal number of stores somewhere in probably to the 3 to 5 range, but we agree that we're continuing to look at whether we want to add additional stores in that market given the overall macroeconomic issues that they're facing. A sales tax that will kick in, in early April of '14, will also have an impact on consumer spending. So yes, we are constantly looking at revising our thinking about expansion in Japan in '14.
Taposh Bari - Goldman Sachs Group Inc., Research Division: Great. And just one quick one, I'll just squeeze in a third question. I don't know if you addressed this, I hopped on late, but 32% decline in the Americas Internet business? What happened there?
Jeffrey J. Lasher: What I commented on, actually, as I went through my overview is really -- what we see is a lot of growth with other e-tailing partners today that buy a wide spectrum of Crocs shoes, so whether that be Amazon, Zappos, Shoebuyer, any of the other partners that we have in the e-tailing space were just -- were not buying business, were not chasing revenue by giving away margin dollars. And so, we're seeing the growth -- we have a sizable e-commerce business in the U.S. that was built up years ago ahead of other brands. And what we're seeing today is some of that business is moving from our own site to them buying that product, with their prime shipping capabilities within Amazon or within other e-tailers. So we just see it as a shift more than it is actual consumption dissipation.
Taposh Bari - Goldman Sachs Group Inc., Research Division: And I guess that's specific to the Americas region because it seems like Europe and Asia are actually performing quite well online?
John P. McCarvel: Yes, there's a little bit different dynamic. I think Europe has been proactive in working with Amazon in cleaning up the marketplace activities that also create havoc for [indiscernible] today. U.S. is a little bit behind in that activity, in doing that. But we're actively working that, the third, fourth quarter of this year, that takes away a little bit from our own e-commerce operations. So we don't have that dynamic in the other markets, and the growth in Asia is on a much smaller base of revenue than it is in the U.S.
Operator: [Operator Instructions] We'll go next to Jim Duffy with Stifel.
Jim Duffy - Stifel, Nicolaus & Co., Inc., Research Division: A question on the operating margins, near 14% in 2012, looking like 8% or so in 2013. Can you put some paper [ph] around the main factors that led to the margin compression?
Jeffrey J. Lasher: Yes. I think as we called out in the prepared remarks, the #1 item for us for this year has been the Japanese yen movements in total. For just Q3, we saw 230 basis point operating margin degradation associated with that particular dynamic. And that's probably the biggest mover. In addition...
Jim Duffy - Stifel, Nicolaus & Co., Inc., Research Division: Do you have a sense of what that is for the year?
Jeffrey J. Lasher: That would be a little bit higher, actually, for the year. It will be probably more like 250 to 300 basis points for the year because the quarter for Japan is actually relatively light relative to the balance of the year. So if we looked at it on a year-to-date basis, which we do internally, the currency dynamic has actually impacted us roundabout 300 basis points for the year.
John P. McCarvel: I think, Jim, to add to what Jeff said, you have another $6 million impact for the Brazilian settlement.
Jeffrey J. Lasher: Right.
John P. McCarvel: You have another $6 million to date on SAP. And then you have, as we have communicated, as we started 2013, that we were going to up our marketing spend heavily in the U.S. with the number of new styles that we had coming out that would be kind of a onetime spend to help push new styles into the marketplace and bring new consumers to the brands. We look at 4 different dynamics there that have really caused the majority of the impact.
Jim Duffy - Stifel, Nicolaus & Co., Inc., Research Division: And John, are there any sightlines to the bottom in the Japan business?
John P. McCarvel: Well, I think what we see in the time that we spend in market with them. I think that they've seen a certain bottoming out. The fact that we're down 3% for the quarter, some -- up in our wholesale business, people continuing to add doors, our partners are continuing to add doors and investment into '14. We will add additional doors, wholesale doors in the market. So it's not that there aren't opportunities for the brand to grow. I think what's key for us right now is to ensure that, really, we've hit bottom on retail coming out of '13. And as I said in my prepared remarks, I think we -- all were very honest about how much that business benefited by a JPY 90, JPY 78 to $1 impact. Even with the pullback and a more even level of revenue in our retail stores, it's still our most profitable region and it's still our most profitable retail operation. So we think that we're at a place where we can sustain this going forward and then start to grow our wholesale business in Japan. We think we're in a good place with the brand and with products to be able to do that.
Jim Duffy - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then, John, you listed a number of things core to the strategy. Certainly, it sounds like there's a lot of hard work going on across the organization. Can you talk, in more specific terms, about how those strategies are going to help you recapture the operating margin?
John P. McCarvel: Well, it really starts with retail. We have to continue to comp our business in Europe and Asia as we have. We have to flatten where we're at from a Japan standpoint. And clearly, the work is in front of us in our U.S. retail group. I mean, we're ecstatic to have Greg onboard now. We waited for a period of time for him to transition from Walmart. And we think we have a really good retailer now to head up that organization, start to provide more leadership towards running that business. We think that there's an opportunity to be more profitable and to seek comp store growth in '14. It's all about execution right now. And I've laid out a number of key strategies. Our business has 6 key strategies for '13 and they're very similar for '14. So we don't have a myriad of different things that we're trying to work on. And one of our key elements, #1 element, for the business for '13 and for '14 is retail excellence. And we've invested in retail with the AlixPartners coming in early in the year to really pull it all apart with us. We'll look at how we go to market, we'll look at how we buy and allocate products, we'll look at how we run our retail stores and how that works. You don't generate all the benefit immediately, but we're seeing benefit as time goes on. And hopefully, we're going to see more benefit in '14.
Operator: We'll go next to Scott Krasik with BB&T Capital Markets.
Scott D. Krasik - BB&T Capital Markets, Research Division: I just want to clarify, John, your comments about the backlog accelerating when you report the fourth quarter. So Americas was down, I think, 12% or so. Are you assuming that that's going to be up 10%, was that what your general goals were for spring '14?
John P. McCarvel: What we think, Scott, is really in the next basically 60 days, we're going to continue to see, on an account-by-account basis, additional orders flow in for both our U.S. marketplace and for Japan where we have key customers that are booking 4 15, 5 15 [ph] delivery dates for products that they have not placed orders for today.
Jeffrey J. Lasher: And just to add to that, Scott, the prebooks for the Americas since September 30, and internally we look at their pace of prebooks that are coming in, and they've already closed about 1/3 of that gap that you identified. So the orders are coming in and we have some confidence around that statement.
Scott D. Krasik - BB&T Capital Markets, Research Division: Okay. So in terms of deliveries though, Q1 is done and that's also a function of they took in a lot of product last year earlier. So there -- is it just like a normal weather delay? And you had a better first quarter then second quarter in terms of wholesale deliveries, so is it really a function of the comparison?
John P. McCarvel: So I think last year, because of the number of new styles that we had, new doors and a couple of key accounts that we added last year, namely rec room, Off Broadway, that took products early, we just saw, after 2 seasons of early spring, a lot of the wholesale accounts being -- not having enough product for that early spring had pulled deliveries into 1 15, 2 15 and even 3 15. [ph] So I think we're seeing next year that kind of more even spreading of orders into a 4 1, 4 15, 5 1 [ph] delivery dates. So yes, we are seeing them not as aggressive as they were in '13 with orders.
Scott D. Krasik - BB&T Capital Markets, Research Division: Okay. That's helpful. And then, Jeff, in terms of the first quarter operating margin in Japan, that was down to 25% from 41% a year before. Was that already part of the yen weakening? And so, do we anniversary that, and all else being equal, what are the pressures on Japan operating margins after we've anniversary-ed the yen weakening?
Jeffrey J. Lasher: Yes. I think, number one, that the yen drop last year in the end of December is when their monetary policy changed and the yen dropped versus the U.S. dollar to close out 2012. So we've been impacted by this for the vast majority of 2013, and we will anniversary or lap that beginning of 2014. The important thing to notate on there, Japan backlog that we've reported externally on how much they have, and we say this is what they did last year and this is what they're doing this year. The Japan backlog may be down $18 million on a U.S. dollar basis, but you have to factor in that, last year, that $70 million of backlog that was reported today was at JPY 80 to $1, and the $52 million of yen that was reported today is in JPY 100 yen to $1, JPY 98 to $1. So when you kind of factor it in, that we're going to record that $52 million at the same exchange rate, we're going to be looking at a backlog release in the first half of roundabout that 4% to 5% growth rate in next year.
Scott D. Krasik - BB&T Capital Markets, Research Division: That's good. Just -- and then -- but to answer the question in terms of once you've lapped the yen pressures, what are the swing factors then in the Japanese operating margin going forward?
Jeffrey J. Lasher: I think they have a competitive marketplace that John talked about. They continue to diversify their product portfolio and merchandise their product portfolio better on a year-over-year basis. They do have a more aggressive issue with substitute products that compete with us in our space, and we are addressing that through constant product innovation.
Operator: [Operator Instructions] And we'll go next to Sam Poser with Sterne Agee.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Did -- just did you guys buy back stock after the end of the quarter? Because on the Q -- on the cover page of the Q, we just couldn't sort it out. Could you tell us what's going on there?
John P. McCarvel: Sam, if you look at the reported shares outstanding on Page 3 of the Q, you'll see that the number is the same as it was last quarter on the documentation on the Page 3, which is the official record of our shares as of September 30 and as of June 30. So no, we did not do any share repurchases in the quarter. We bought back shares in the first quarter. A little over 2 million shares in the first quarter, if I recall right, and we did not do any share repurchases in Q2.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Well, if I can follow up, on the cover of the Q2 Q, you had 91.6 million shares. And on the cover of the Q3 Q, you had 88.4 million shares.
John P. McCarvel: Yes, at the end of the second quarter, we were picking up -- a number that included diluted shares in total and including restricted shares, the total number of issuance, so including the treasury stock. So that was an error that we fixed later on. So what you're looking at is kind of an apples-to-oranges, so we did not do any share...
Sam Poser - Sterne Agee & Leach Inc., Research Division: All right. And then if I can ask about the marketing spend. One, can you talk about what that additional $2 million in the quarter was used for? And two, you said that it was a onetime event, but are you going to -- when you think about marketing next year, how do you think about it? Are you going to have additional costs for the -- for your store base? Are you going to have less costs on some of those other charges such as SAP and so on? How does this all -- how do you think about this all playing out, absolutely, from a dollar perspective?
Jeffrey J. Lasher: Yes. They're kind of 3 -- maybe 3 questions in one. So first is that we had said that this would be a one-year incremental spend on a percentage basis to our '13 revenue. So as we finish up our '14 planning right now, we're basically flat to '12 with a few specific incremental spend items that we're going to do. We have a big promo in China with a Chinese star there that will be basically an overall Asian play in that space for us, which would be incremental to that '12 run rate. On the $2 million spend, additional spend in the quarter, Sam, it's across the globe. We spent additional money here in the U.S. on print advertising, social digital ads, additional spend in Europe, Japan and the U.S. on conversion for e-comm. So that $2 million was really distributed across all 3 channels and all 4 geographies.
Sam Poser - Sterne Agee & Leach Inc., Research Division: And did it bring you what you wanted?
John P. McCarvel: I think what we've learned over time is marketing spend has about a 6-month delay in conversion if we look at spend in prior years. Just because we put something out in front of the consumer, that doesn't mean that they're ready to buy it. We might place that idea in their minds that, "Hey, this is something interesting," and "When I go buy a sandal, I'm going to go, look at that product," or "I'm going to go buy a flip-flop or a new pair of sneakers." So we look at some of our marketing spend as pure conversion, some of it is brand building. And I think we're going to see for a wide distribution of new styles that we have this year, from wedges to sneakers. The retro products at the first part of the year, the retro sneakers in the back half of the year. Are we engaging and bringing new consumers to the brand? We see a number of new consumers coming into the brand, buying new products. So I think we're going to see, as we go forward, whether that's going to be an accretive spend for the company. We placed it in the places where we want it to be, and now we'll see if we're going to bear fruit.
Sam Poser - Sterne Agee & Leach Inc., Research Division: And the e-commerce spend, though, would get a faster result. Could we assume that you didn't spend a lot of money on e-commerce in the United States or in the Americas?
John P. McCarvel: That would be fair.
Operator: And our next question comes from Mike Swartz with SunTrust.
Mitch Van Zelfden - SunTrust Robinson Humphrey, Inc., Research Division: This is Mitch, in for Mike. Most of my questions have been answered but just on the retail side of the business, comps were down 4% in the third quarter. Was there a material difference in the comp points in the young stores versus those of your more mature cohort?
John P. McCarvel: I think in the older stores, there's a certain segment of those older stores which were placed in locations where we thought about -- them as marketing locations years ago. As time has gone on though, I think the way that we look at it is more what do outlets in some of the newer high-traffic locations look like? Outlets continue to perform well. Outlets for us are running this year above 100% of their pro forma P&Ls when we looked at making those investments. So we're encouraged by the performance of new locations. And so -- and it's also, as we talk about in our business, both in Jeff's comments out in New York in September as well as what we said today, most of that investment going forward, whether it's in Europe or in the United States, is mainly the outlet sector for '13 going into '14.
Mitch Van Zelfden - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then just on your outlook for Europe, obviously, it was a highlight this quarter. How do you see that market trending in the fourth quarter and into next year?
John P. McCarvel: Forecast for Europe for the fourth quarter is up about 20% year-over-year. We think the management changes that we made there 2 years ago, the organization we have in place, growth of wholesale doors, the performance improved, performance of retail, as we've seen this year with another good comp quarter, the addition of Tim Lyons to that group to add another retail -- experienced retail leader to a growing retail business there, we're very upbeat on our European business. And of course, our e-commerce business has performed very well the last 2 quarters in Europe.
Operator: And we'll take our last question from Scott Krasik with BB&T Capital Markets.
Scott D. Krasik - BB&T Capital Markets, Research Division: Because there's one quarter left now, can you guys give us the Asia Pac and Japan sales and operating income breakdown for 4Q last year?
Jeffrey J. Lasher: Yes, I'll give you last year, hold on one second. So why don't I just do this? I'll just give you Japan. So last year, our Japan business generated $24.2 million of USD revenue. It had an operating income of $4.6 million in Q4.
Scott D. Krasik - BB&T Capital Markets, Research Division: Okay. That's helpful. And then, John, you sort of alluded to it before with Amazon and that type having some pressure on your Internet business, but given that they don't have a lot of pricing respectability, if you will, what did that do for your 200-plus stores in the U.S.? And if you knew that you'd be going to more promotional retail environments or e-commerce environments, would that change your strategy in retail in the U.S.?
John P. McCarvel: Well, I think that there's 2 parts to it. The first part is how marketplace operates within Amazon and how our existing wholesale partners use that forum to sell products which, in turn, creates the dynamic within Amazon, the algorithm that looks at pricing. And so, it's really a matter of how do you address the first issue. The second thing of it is, and we've talked about this really repeatedly over the last 2 years, is continuing -- as Dale and our product development group continues to provide a larger portfolio of products, how we work on tiering and segmentating of products. And so, what you're going to continue to see into '14 is that not all products are going to be sold in all channels, and we're doing a much better job going into '14 putting the right products in the right place. That will also help our own retail stores, in terms of selling the type of products that we want to sell in our retail stores. You're going to see limited edition or limited quantity types of shoes rolling into our full price stores next year. Next year, you'll see outlet starting to have a more segregated line of products where we have outlet -- specifically built products for outlet so as we mature and we start to segment and tier a little bit better, Scott, I think you're going to see that start to dissipate. Is it going to be perfect? The answer is no, but it's going to take us a little bit of time to work through that. But there's a clear strategy and plan in place to be able to make it a win-win situation.
Scott D. Krasik - BB&T Capital Markets, Research Division: Are you going to be there, in terms of product segmentation for spring '14 then, where you want it to be?
John P. McCarvel: I think you're 75%, 80% of the way there. We're happy with where we're getting and where we're getting from a marketplace standpoint also. So I think we see improvement on the horizon here and, hopefully, that will help us to start the U.S., or Americas business next year.
Operator: And we'll take a follow-up question from Sam Poser with Sterne Agee.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Scott, sort of -- it was sort of asked and answered to some degree, but a lot of -- in the prepared remarks, you talked about a lot -- when the business wasn't good, especially in the States, you talked about a lot of the macro things. I guess the thing, what -- like in the Americas, what are you doing -- the macro sort of affects everybody evenly, so what are you doing to change, to be aggressively changing against that so you can overcome the macro, offer better products, make the stores more efficient, work with your retailers in a different manner and so on and so forth?
John P. McCarvel: Yes. I think we've covered a number of different things in the retail space, and I'll let Jeff kind of answer this. But Sam, I think, on the retail, we've taken inventory levels down over the last 2-plus years by being better at allocating, planning, merchandising, buying for the stores, how we segment, how we distribute and how we replenish products. So a lot of work has been done from a system standpoint and from a philosophical standpoint in terms of how we approach retail, how we segment out between full price stores and for our own outlet channel. I think the same thing is carrying over into how we take our flats, how we take our wedges. Even within wedges, what we put into what channel, where translucence goes, how we handle Huarache, where sneakers go, all the different elements of our product line are being segmented and tiered in a more effective way.
Jeffrey J. Lasher: Yes. Sam, I think, as John mentioned in his prepared remarks, we're taking a hard look at all of our channels and regions to see where we can accelerate a growth pattern that's acceptable to all of us. We're certainly proud of our growth into a diverse 4-season footwear company, and continue to design products that surprise and please our customers. As we look out into 2014, we're going to continue to focus on innovation to bring customers the footwear products that they want: fun, colorful, comfortable, new styles like the stretch sole line which fits your foot. We'll also enter into other line extensions of our popular Huarache sandals, boat shoes and the classic clog. And as John mentioned, in the back half of the year, we'll be introducing the color light [ph] program and expanded versions of Busy Day. So when you look at our product portfolio for 2014, we're pretty excited about the upcoming year.
Operator: And with no more questions in queue, I'd like to turn the call back to John McCarvel for closing remarks.
John P. McCarvel: I'd like to thank everyone for joining us today for our Q3 earnings call, and we look forward to talking to you again in February. Thank you.
Operator: This concludes today's call. Have a wonderful day.